Operator: Welcome to Wendy’s/Arby’s Group’s first quarter 2010 conference call. Our hosts today are John Barker, Chief Communications Officer; Roland Smith, President and Chief Executive Officer; and Steve Hare, Chief Financial Officer. (Operator instructions) I would now like to turn the call over to John Barker. You may begin sir.
John Barker: Thanks, good morning everyone. Today’s conference call and web cast is accompanied by a PowerPoint presentation which can be found on our Investor Relations page on our corporate website that is wendysarbys.com. For those of you who are listening by the phone, be sure to make sure that you select the appropriate web cast player option from our website to ensure that the slides and the audio are in sync. The agenda for today’s conference call and our web cast will begin with remarks from our President and CEO, Roland Smith, who will discuss our first quarter highlights. Chief Financial Officer, Steve Hare, will review financial results in greater detail and will discuss our 2010 outlook. Following Steve’s discussion Roland will come back and update you on Wendy’s and Arby’s brands and our international business and then we will open up the line for Q&A. I would like to take a moment to summarize what is included in the financial statements which are attached to today’s earnings release. There’s a P&L with a full consolidated first quarter 2010 results. Also included in today’s release are key balance sheet items and a table for the first quarter of 2010 shows our EBITDA, a reconciliation of EBITDA to the reported net loss and adjusted EBITDA which excludes integration related and nonrecurring items. We have also provided selected financial highlights for each brand with same store sales, revenues, 4-wall restaurant EBITDA margin percent and the total number of restaurants at quarter end. In addition, we filed our form 10-Q for the Wendy’s/Arby’s Group this morning and later today we will file our form 10-Q for Wendy's/Arby's Restaurants which is a subsidiary of Wendy's/Arby's Group. Now before we begin, I would like to refer you for just a minute to the Safe Harbor statement that is attached to today’s release. Certain information that we may discuss today regarding future performance such as financial goals, plans and development, is forward-looking. Various factors could affect the company’s results and cause those results to differ materially from those expressed in our forward-looking statements. Some of those factors are referenced in the Safe Harbor statement that is attached to the news release. Also some of the comments today will reference non-GAAP financial measures such as earnings before interest, taxes, depreciation and amortization. We have provided you reconciliations of non-GAAP financial measures to the most directly comparable GAAP financial measures. Now, let me turn the call over to Roland.
Roland Smith: Good afternoon everyone, and thanks again for joining us today. We are pleased with our first quarter EBITDA results. Adjusted EBITDA was $92.1 million, an increase of 14.7% compared to year-ago. At Wendy’s we produced positive same store sales and improved company operated restaurant EBITDA margins by 430 basis points compared to the same quarter a year ago. At Arby’s we focused on our turnaround plan and the rollout of our new Everyday Value Menu. While same store sales and margins declined in the first quarter we are encouraged with the transaction improvement and I will talk more about that in a moment. Now I would like to share first quarter 2010 performance highlights for both Wendy’s and Arby’s. At Wendy’s first quarter system wide same store sales increased 0.8%. We believe this was among the strongest sales performance in the industry. It is also important to point out we were rolling over our strongest quarter of same store sales growth in 2009 and we were negatively impacted by severe winter weather in February. Wendy’s company operated restaurant margin was 15.4% for the first quarter, reflecting a 430 basis point increase versus a year ago. Approximately 300 basis points were driven by operational improvements in labor and controllables, lower advertising costs, as well as menu mix shifts to premium and higher margin products and about 130 basis points of improvement was driven by lower commodity costs. Now let me talk about our first quarter marketing calendar at Wendy’s. In January we promoted our $0.99 Spicy Chicken Nuggets which drove improvement in same store sales. In February we featured our premium fish sandwich. In March we were pleased with the successful introduction of Wendy’s new Bacon and Blue Premium Hamburger. We are continuing to improve our entire hamburger line and we are very optimistic about enhancements to our ground beef, buns, fresh toppings and condiments that are currently in test. Now I will review Arby’s first quarter. At Arby’s, system wide same store sales decreased 11.5% in the first quarter. Arby’s generated a 10.8% restaurant margin, a decline from last year due to sales de-leveraging. Now let’s review Arby’s first quarter marketing calendar. Arby’s continued to rollout the Dollar Value Menu in the first quarter. In January about half of our system promoted the Dollar Value Menu. Arby’s same store sales improved to negative 3.9% during the last three weeks of the month, after the start of local television advertising. In February severe winter weather in the Central and Eastern portions of the U.S. negatively impacted sales at Arby’s. In March, we rolled over our strongest 2009 monthly comps when we introduced the Roast Burger line a year ago. The 2009 Roast Burger launch included substantial national media and promotional activity. By comparison we did not have any national media in our 2010 March period. We completed the rollout of our Dollar Value Menu and began advertising it nationally on April 11th. We are encouraged with the positive transactions and improving sales trends since the launch. I will talk more about April and our turnaround initiatives in just a few minutes. Now I would like to comment on the formation of our third purchasing cooperative. In April we announced the formation of a new independent purchasing co-op, the Strategic Sourcing Group (SSG). SSG will utilize the purchasing power of our nearly 10,000 Wendy’s and Arby’s restaurants in North America. The co-op is responsible for securing a range of goods and services that are not within the scope of either Wendy’s or Arby’s Purchasing Co-ops. SSG focuses on securing competitive contracts for non-branded supplies and services such as equipment, kitchen small wares, furnishings and menu boards as well as utilities and restaurant level contract services. The company has committed to fund $4.9 million of operating expenses for SSG which was recorded as a charge in the first quarter and will be paid over a 24 month period. We expect to benefit from the purchasing efficiencies realized by company owned restaurants as well as from lower G&A expenses due to the transfer of strategic sourcing employees to the co-op. These savings will be incremental to the 3-year margin improvement and G&A savings targets of $160 million established at the time of the merger. Now I would like to turn the call over to Steve.
Steve Hare : Thanks Roland. First I would like to update you on our first quarter 2010 consolidated P&L. I will also provide a review of our capitalization and cash flow and update you on our stock repurchase program and dividends. I will also provide some comments on our progress with arranging a new credit facility. Finally, I will review our financial outlook for the year. Slide 13 highlights the first quarter results and the special expense items in the quarter. Consolidated revenues were $837 million during the first quarter of 2010 and decreased 3% from a year ago primarily due to negative same store sales at Arby’s. Cost of sales was $641 million or 85.7% of sales and reflected continued improvement in Wendy’s restaurant margin partially offset by a decline in Arby’s restaurant margin. Although commodities were favorable in the first quarter they are beginning to increase earlier than we had anticipated; especially beef. We continue to anticipate a 2-3% increase in commodity costs for the full-year which will negatively impact margins for the remaining quarters. G&A expense was $110.5 million including a total of $7.8 million of merger related integration costs and the charge related to the formation of the new purchasing co-op. Excluding these costs and executive severance G&A was lower on a comparable basis by approximately 5%. We anticipate integration costs in G&A to be approximately $8 million for 2010 primarily related to continuing IT integration projects. Depreciation and amortization was approximately $46 million and we expect the quarterly amount will increase slightly throughout the year due to our remodel spending. Impairment charges of $11.6 million were related to the write down of fixed assets for certain underperforming Arby’s restaurants. We did not incur any facilities relocation expense in the quarter and do not anticipate any further charges in 2010. Interest expense was approximately $37 million for the quarter and was similar to the prior quarter. We are in the process of arranging a new credit facility that should decrease annual interest costs and I will update you further on that process in a moment. The tax rate for the first quarter was 60%. This rate was higher than the statutory rate largely due to reductions in our valuation allowances related to certain state tax matters. However, we expect the rate for the remainder of the year to be 38-40%. Net loss was $3.4 million or $0.01 per share which included after-tax net special charges of $12 million or $0.03 per share. Roland highlighted our adjusted EBITDA for the first quarter earlier. The table on slide 14 summarizes the adjustments to EBITDA including those I discussed on the previous slide; merger related integration costs and G&A of $2.9 million and a charge of $4.9 million for the new SSG purchasing co-op which represents approximately 2 years of operating costs. Adjusted EBITDA was $92.1 million and represented a 14.7% growth rate over the first quarter of last year. Slide 15 summarizes our cash flow for the first quarter. Cash from operations was $35.2 million and included a net loss of $3.4 million, depreciation and amortization of $46.3 million, a decrease in accrued expenses and other current liabilities of $42.3 million largely due to payment of accrued bonuses and interest and other non-cash items of $34.6 million. Capital expenditures were $27.1 million and were approximately $10 million higher than our spending in the first quarter of 2009. We continue to anticipate capital expenditures to be approximately $165 million in 2010. Net cash generated from operations was $8.1 million. We returned $87.5 million in capital to our stockholders in the form of stock buybacks and cash dividends during the quarter which was the primary driver of the $84 million reduction in the cash balance versus year-end. At quarter end we had a cash balance of $507.3 million. We continue to have a strong cash position which provides us with significant financial flexibility going forward to fund our strategic growth initiatives and stock buyback program. Now let’s look at our debt capitalization. At the end of the first quarter we had total debt of approximately $1.5 billion and net debt of about $1 billion. Based on our trailing 12-month adjusted EBITDA our total debt multiple is 3.5 times. Our net debt multiple is 2.3 times. We believe our financial leverage will continue to improve as we produce higher EBITDA levels and reinvest our cash balances back into the business. Now I would like to review our progress on refinancing. In order to address our medium term debt maturities and to take advantage of the current favorable credit and interest rate environment, the company is in the process of arranging a new $650 million senior secured credit facility which will include a $150 million revolver and a $500 million term loan. The proceeds from the new term loan will be used to retire the existing senior secured credit facility which expires in 2012 of approximately $251 million as well as the existing senior notes due 2011 of $200 million. The remainder will be used to pay related expenses of the transaction with a small amount of residual cash added to the balance sheet. We are optimistic we will complete this transaction by the end of May. Now let me talk about recent Board actions. The Board of Directors authorized a stock repurchase program beginning in 2009 and our total authorization is currently $250 million. Of this total we have repurchased 40 million common stock shares for $190 million as of May 7 of this year at an average share price of $4.76. The authorization remains in effect through January 2, 2011 and will allow the company to make repurchases as market conditions warrant. Our stock repurchase program reflects the Board’s and our confidence in the long-term prospects of the company. The Board also declared a cash dividend for the first quarter of $0.015 per share or approximately $6.5 million. This dividend will be payable June 15th to stockholders of record on June 1. Now I would like to briefly review our financial outlook for 2010 which has not changed since our announcement last quarter. Although there are some positive signs, key economic trends remain weak for restaurants. Unemployment remains high especially among teenagers and young adults which has a significant impact on the restaurant industry. We don’t expect that this will improve significantly in the short-term. We have seen a modest uptick in consumer confidence in March and April and hopefully this index which correlates to restaurant sales will continue to increase throughout the year. For the year, we continue to expect positive same store sales and further margin expansion at Wendy’s and negative same store sales at Arby’s but improving on a year-over-year basis. As a result we continue to expect adjusted EBITDA growth in the low to mid single digits for 2010. This increase excludes the effect of the 53rd week in 2009 of approximately $14 million and incremental investment spending to expand Wendy’s breakfast menu into additional markets during 2010. Now let me turn it back to Roland.
Roland Smith : Thanks Steve. Now I would like to review our plans for Wendy’s and Arby’s as well as our international business. Let’s start with Wendy’s. During April Wendy’s promoted our $2.99 Deluxe Value Meals to address the value portion of our marketing barbell. April same store sales were negative 0.5% excluding the negative impact of the Mother’s Day shift into fiscal April 2010. We expect to get the benefit of this calendar shift in our fiscal May same store sales. This month Wendy’s introduced our new Spicy Chipotle Chicken Boneless Wings. This is an outstanding new premium product that adds news to our Boneless Wings lineup. Later this quarter we will introduce two new Deluxe Value Meals with a Bar-B-Q Bacon Cheeseburger and Bar-B-Q Bacon Crispy Chicken Sandwich as we continue to focus on balancing value with premium promotions. In the third quarter we are very excited about launching a new salad line that produced strong results in our test market. Our new salads include apple pecan chicken, BLT cob, spicy chicken Caesar and Baja. Each offers a blend of quality ingredients with all-natural dressings including pomegranate vinaigrette, lemon garlic Caesar, creamy red jalapeno and avocado ranch. Our real positioning will be crystal clear to customers as our new salads feature fresh ingredients like romaine lettuce, all white chicken breast filet, a blend of roasted corn and seasoned black beans, grape tomatoes and shredded parmesan cheese. We believe these new salads will drive positive transactions and sales. Now I would like to comment on our progress with restaurant operations. We have continued to focus on improving our customer experience in 2010. In the first quarter we increased the number of A and B level or well operated stores five points from 68% to 73%. To further enhance the customer experience in 2010 we plan to remodel up to 100 company owned restaurants at Wendy’s and we are pleased that franchisees are also increasing their level of remodeling. Our Curve and Tower exterior and interior designs create an impressive curb appeal that welcomes customers and provides ambience that enhances the eating experience. Now let me give you an update on Wendy’s breakfast program. As I stated before our strategy is to provide unique breakfast products that build on Wendy’s real quality fresh positioning. In the first quarter we tested a totally new menu and simplified operations. Customer feedback on our new menu items has been very positive. We will begin to introduce the new menu into our three existing breakfast markets in the second and third quarters. In the fourth quarter we plan to expand into additional company and franchise markets. Finally, we plan to begin a national rollout in late 2011. Now I would like to move on to Arby’s. We continue to implement a turnaround program to reenergize Arby’s and rebuild customer traffic and same store sales. Today I will update you on several of our key turnaround initiatives to include hiring an experienced President, nationally expanding Arby’s new $1 Value Menu, significantly increasing our share of [voice] by utilizing more national TV advertising, improving advertising effectiveness, revitalizing product innovation and finally investing in a significant remodeling program. Let me start by talking about our new Arby’s President. Yesterday we announced the appointment of Hala Moddelmog as Arby’s new President. We are very excited to have Hala return to Arby’s where she started her business career as a market research manager for the Arby’s Franchise Marketing Association (AFA). Later she also served as Vice President of Product Development and Strategic Planning for the AFA. Hala is a seasoned restaurant industry executive having led Church’s Chicken as President for nearly 10 years. Church’s is the world’s fourth largest Chicken chain with more than 1,650 restaurants. Under her leadership she completed reimaged the chain and drove eight years of positive same store sales. From 2006 to 2009 she was President and CEO of Susan G. Komen for the Cure which is the largest grassroots organization working to eradicate breast cancer. She strengthened Komen’s operational and financial stewardship and almost tripled the number of corporate sponsors. Hala will start on May 20th and will immediately focus on the turnaround plan at Arby’s. Because she is familiar with the brand, our system and the QSR industry I am confident she will have an immediate positive impact on our business. Now I would like to talk about Arby’s value strategy. We are encouraged by the transaction increases during the national launch of the Arby’s $1 Value Menu. Arby’s transactions in the fourth quarter 2009 were negative 10.4%. In the first quarter of 2010 transactions improved to negative 1.2% as we continued to rollout the $1 Value Menu supported by local media. In April we completed our $1 Value Menu rollout and began national advertising on April 11th. Transactions improved for the month to positive 4% and during the weeks when we advertised our $1 Value Menu nationally transactions improved to positive 7%. We believe positive transaction growth and getting more customers into our stores is the first step in successfully turning around the Arby’s brand. Our check average declined approximately 12% in April, about two points more than our expectations and same store sales improved to negative 8.4%. We improved the same store sales trend in April despite no media support until April 11th and the negative effect of the Mother’s Day Holiday shifting from fiscal April 2010. Arby’s $1 Value Menu is now an everyday value offering and we expect continued benefit in the second quarter as awareness grows. Now I will turn to Arby’s media and advertising. As I discussed on our call last quarter we have increased the national media rate for 2010 from 1.2% to 2.4% which is double the national media rate in 2009. This increased media rate will allow us to execute three national advertising events with significantly higher media weights than we have historically been able to buy. We are currently working on revisions to our creative to provide an improved focus on our quality products in addition to the value message which is in our current television spots. This revised creative will be used during the second quarter in local advertising and during the third quarter as we return to national advertising of the $1 Value Menu. Slide 30 lays out Arby’s marketing calendar for the second and third quarters of 2010. In May we are promoting our Signature Beef and Cheddar and we will continue to remind customers about Arby’s Everyday value by tagging our TV commercials with the $1 Value Menu. In June we plan to introduce two new premium products; a new Steakhouse Toasted Sub and Prime Cut Chicken. In the third quarter we will promote our everyday $1 Value Menu with another national media campaign featuring a new Junior Deluxe Roast Beef sandwich with lettuce and tomato. Finally, at Arby’s in 2010 we are launching a 3-year remodeling program with a goal of having 75% of our system as pinnacle image restaurants by the end of 2012. We continue to see stronger sales and margins performance from our pinnacle image restaurants which represent about half of the system. We are on track to remodel 100 Arby’s company owned restaurants in 2010 and we anticipate investing up to $100 million over the next 3 years. Now I would like to discuss our international business. Earlier this week we announced the opening of our first international dual-branded Wendy's/Arby's restaurant in Dubai. The restaurant is located in the Festival City Mall and as you can see it is a great looking store. The Al Jammaz Group is planning to open approximately 80 dual-branded restaurants and their initial focus is on developing in the United Arab Emirates. Additionally, this past weekend our franchise partner in Singapore opened a second Wendy’s location as part of their 35 store development agreement. In 2010 we expect our franchisees to open 35-45 new international restaurants and we are targeting signing new development agreements for a total of about 400 new restaurants. We are actively pursuing development opportunities in a number of countries and anticipate entering 3-4 new countries in 2010. Longer-term, as I have said before we see the potential for a total of 8,000 restaurants outside of North America. Now let me summarize our results and outlook for 2010. In summary, we produced strong adjusted EBITDA growth in the first quarter of 14.7%. Wendy’s continues to be on track to produce positive same store sales and improved restaurant margin for the year. At Arby’s we are focused on our turnaround plan and we are encouraged by positive transactions and improving sales trends in April. We look forward to Hala joining Arby’s as our new President. We are excited about the long-term savings opportunities represented by the launch of the SSG co-op. We are investing in future growth specifically in the areas of Wendy’s breakfast, remodeling at both brands and international development. We are returning capital to our stockholders through dividends and share repurchases. Finally, we anticipate delivering low to mid single digit adjusted EBITDA growth in 2010. Now I will turn it back over to John Barker to cover upcoming events and the Q&A. John?
John Barker : Thanks Roland. Before I open it up to Q&A just a few things I want to mention about upcoming investor events. On May 27th we will hold our annual stockholder meeting in New York. Earlier this year we did provide stockholders with our 2009 annual report ad our proxy statement. Both of those are available on our corporate website. In June we plan to present at the Oppenheimer Conference in Boston and on November 18th we are planning to hold an Investor Day in Dublin, Ohio and there we will showcase our Wendy’s business and the Wendy’s management team. We will be providing more information as those plans firm up and develop. Now I would like to open it up for questions. Considering we have a large number of participants on this call, well over 100, we ask that you limit your questions if you could. Operator would you please open up the phone line for questions?
Operator: (Operator Instructions) The first question comes from the line of John Glass – Morgan Stanley.
John Glass – Morgan Stanley: Can you talk about what your new expectation, if you have new expectations, for the Wendy’s margin this year? It sounds like over 300 basis points of improvement came from your cost management initiatives. I think initially you said you thought they could improve by 160-180 basis points this year. So do you expect to give back some of those gains in the back half? Or are you setting a new, higher bar for the Wendy’s business this year?
Roland Smith : Let me take that question. Let me first of all talk about what we forecasted when we first completed the merger. We said we could expect to improve margins 500 basis points over a 3-year period with an average of about 160-180 basis points a year. Clearly in 2009 we far exceeded our expectation by improving margins by over 300 basis points and as you know from our conversation this morning we certainly exceeded expectations in the first quarter by improving our margins over 400 basis points. As we talked about our outlook in the first quarter what we expected this year from a Wendy’s margin standpoint was margin of improvement between 90-110 basis points. I would reconfirm that is what we expect the margin improvement to be this year. Certainly we got some tailwind from commodities in the first quarter. As Steve mentioned to you we think commodities are going to go up in the third and the fourth quarter and we were actually experiencing that happening even a little earlier than we expected in the area of beef this quarter. While we are off to a great start, we think that our guidance of 90-110 basis points remains intact for this year and that we will clearly achieve our 500 point total improvement in 2011.
John Glass – Morgan Stanley: On Wendy’s there was a little back slip in same store sales in April. I wonder if you could just talk about that. It is not enormous and you also said a Mother’s Day shift which I am not as familiar with in QSR. Can you maybe quantify what that was?
Roland Smith : Sure. Mother’s Day is a day when an awful lot of people eat out of home but they do not eat out of home in quick-service restaurants. If you take a look at the history of our business, the Mother’s Day is a very slow day and a low revenue day for QSR. Wendy's/Arby's, McDonalds, Burger King, they all kind of experience the same thing. It has been a historical trend for a lot of years. Because of the way our fiscal year works, we actually closed out the month of April in early May and Mother’s Day this year we actually recorded the Mother’s Day event in April. You are talking about obviously April sales. So in April of this year we actually had the negative impact of having Mother’s Day this year where when we roll over the positive impact of Mother’s Day it will be this week or this Sunday and so we will get the benefit of the Mother’s Day this Sunday. The two will probably neutralize themselves out as they usually do and if they happen in the same quarter or the same month we never talk about it. It just happens to be an unusual shift this year from one month fiscally to the next month.
John Glass – Morgan Stanley: What was the amount of that shift?
Roland Smith : Generally speaking, and you have to estimate it because it is not a fine science, but we think it is about a half a point.
Operator: The next question comes from the line of Matt DiFrisco – Oppenheimer.
Matt DiFrisco – Oppenheimer: Thank you for explaining Mother’s Day. It was confusing I think in the release. I was taking away you were saying it was a benefit. Can you tell us to follow-on to that what was April of last year? I couldn’t find it in last year’s remarks for 2009 for both brands.
Roland Smith : I am not sure we have publically disclosed April of last year. If you will give us a little bit of time we will go back and research that and we will get back directly to you later on today.
Matt DiFrisco – Oppenheimer: Specifically I am thinking sequentially is it an outlier as a portion of the quarter. Did the quarter get tougher or easier so we could think about how to expect the current trends to sustain. Then secondarily I wanted to understand better the marketing strategy and what you expect to see or have you tested this or anecdotally what you could draw from switching to national versus local, putting more dollars behind the national side. Some other brands are doing the reverse and saying there is a benefit from going a little closer to the local side. What are the benefits? Have you seen a lift in sales when you shift more to national rather than say the signage and billboards and more local radio and advertisement at the per-store level a little bit greater?
Roland Smith : I am not sure what brands might be doing that. Our analysis would suggest that more and more brands are in fact doing the opposite because national TV advertising compared to local TV advertising is significantly more effective. In a range of 30-40% more effective from the standpoint of our ability to reach frequency and reach targets with our customers. We have had some national TV in the past and I am sure you are referring to Arby’s and generally speaking when we are on with national TV we see a very significant trend of positive same store sales reaction based on that. One of the things I alluded to a moment ago was the fact in the first quarter for Arby’s we had a couple of significant hurdles that kept us from delivering the sales we would have expected. One obviously was the impact of the severe winter weather in February which many brands have spoken about. The second, which is unique to Arby’s is last year in March 2009 we rolled out probably the most significant new product introduction that we have had in some time and that is our Roast burger line. As I mentioned that was supported by national TV advertising. This year our March calendar as we planned it, and we understood this, did not have national TV advertising and so we expected that rollover to be very, very difficult. If I go back to March, for example, of last year our same store sales improved to better than minus 3% based on the Roast Burger launch and the national advertising so just another data point that would suggest national advertising is much more effective than local advertising. We were nationally advertising beginning April 11th our Dollar Value Menu and as I mentioned during that promoted time our transactions were significantly positive. In fact they were plus seven points. I don’t mean a trend change of plus seven points. I mean positive 7 points from zero from a trend change, we are almost double digits. So clearly that is based on two things in our opinion. One is the message which is something that our consumers have asked us to do for a long time which was provide them better value and the second was the way we delivered that message which was a combination of national advertising. By the way, one additional difference in 2010 is that as we say when we are on we are on which means we are buying a significant level of national media. We measure that in GRPs or gross rating points. In April we had right at 1,000 GRPs which is more than we typically would have because of the way we planned our media this year and we will be able to replicate that a couple of more times this year. So based on all of the data we have and based on not only our history but what we know from what it costs to buy GRPs and what our competition is doing we believe national media is clearly the way to go and much more effective than local.
Matt DiFrisco – Oppenheimer: As far as the system expansion I didn’t see any reference to that in the guidance. Do you still even though the same store sales are still somewhat flat, do you still feel confident about the overall Wendy’s system, not necessarily the Arby’s but the Wendy’s system holding flat and not contracting as it has in prior years? System overall stores?
Steve Hare : I think that is right. I think on the Wendy’s side we would expect the system count this year to be relatively flat.
Operator: The next question comes from the line of Michael Gallo – C.L. King.
Michael Gallo – C.L. King: I wanted to dig in a little bit on the two co-ops. I was wondering if you can quantify at all how much SG&A you would expect to be transferred to the two co-ops and also while it might be earlier if it is possible to quantify at all what kind of improvement in cost of goods you might expect from the system from the creation of the co-op and when we should expect to start to see that.
Roland Smith : As Michael alluded to we now have two co-ops, one at each brand, and a third co-op which is our new SSG co-op. The QSCC or the Wendy’s co-op as you know was formed in January and we are looking forward to having some benefit from that co-op as we get into the year. As I think you all understand because of the way they work from a contractual basis there are still many contracts they have not yet been able to impact because they have not come due. So we will see the benefit of that as the year goes along. Then as you mentioned the SSG coop is something we just formed and the press release just went out. We did some pre-funding, as we mentioned in our release today and we will transfer G&A costs over to that co-op as we go forward. We are quantifying that as we speak but it is in the neighborhood of several million dollars on an annualized basis. I can’t give you a really good estimate yet as to the savings we expect to be able to enjoy because again, we are just in the process of looking at agreements, letting RFPs for different things we purchase that are non-branded, but I do think as the year goes along we will be able to enjoy some reasonably significant savings because we are negotiating for 10,000 units versus just the numbers we currently have in each brand. I have used this analogy last time so you have probably all heard it but I will just quickly mention it to you as a source of some validity this will provide value. The very first contract that came up happened to be kind of a concurrent with the SSG was being former. We took advantage of the 10,000 restaurants. We negotiated for disposable plastic gloves for 10,000 restaurants versus our ability to do it for either 6,000 or 3,700 stores and we enjoyed a savings for the system of a little over $3.5 million. The savings is there. It is real. It will take some time to realize and we really have not baked that into our forecast at this point.
Michael Gallo – C.L. King: Could you give us a follow-up on the rollout of store by store pricing and where you stand in that and whether you still expect that to start to roll out in the third quarter?
Roland Smith : Great question. We spoke about that on our last call. We do have a strategic pricing initiative we have initiated at Wendy’s. It has been underway now for about 4-5 months. We brought in a major consultant to help us get into the clear data analysis and research. We are now in the process of actually building the model that would allow us to go from several years ago national pricing to a couple of years ago regional pricing to as Michael mentioned hopefully in the future individual restaurant pricing by product. We have not instituted that yet. It will take some additional time this year to finalize the model and the software to use the model. We are optimistic that will provide us some reasonable ability from a pricing elasticity standpoint to improve our sales. We are not forecasting the benefit of that particular initiative until 2011 and beyond.
Operator: The next question comes from the line of Joe Buckley – Bank of America/Merrill Lynch.
Joe Buckley – Bank of America/Merrill Lynch : First on the Mother’s Day conversation I just wanted to clarify that the minus 0.5% in April excludes that, right? That is not because of that?
Roland Smith : That is correct.
Joe Buckley – Bank of America/Merrill Lynch : A question on breakfast. You talked about new products. What you are featuring now in Kansas City, Pittsburgh and know there is one more and I am forgetting which one. Is that the new menu or are you about to replace those menus with the newly developed breakfast products?
Roland Smith : First of all the third city is Phoenix. It is Kansas City, Pittsburgh and Phoenix and we are in the process of rolling that new menu out to those three markets as you would imagine store-by-store as we train the store operators to be able to bring in those products. To specifically answer your question we are entirely replacing almost the entire line of menu that we currently have from the old breakfast line with our new products. It is a significant change to the consumers and the consumer reaction as I mentioned in my comments has been very positive. I could go into a longer discussion about an artisan toasted muffin with a fresh cracked egg and freshly cooked bacon, asiago cheese and hollandaise sauce on and on. As I think you know these are items unlike any other QSR has from a breakfast standpoint. It is consistent with Wendy’s positioning of real, fresh high quality products and I think it is the answer to how we are going to make a significant impact in the breakfast business.
Joe Buckley – Bank of America/Merrill Lynch : With all the changes in the co-op and sourcing are Wendy’s beef costs still set at the beginning of the quarter for the full quarter? Is that pricing mechanism still in place?
Roland Smith : Yes, generally speaking it is.
Operator: The next question comes from the line of Jeffrey Bernstein – Barclays Capital.
Jeffrey Bernstein – Barclays Capital: I have one question on each brand. First on Arby’s with the dollar menu I think you mentioned not only when it pushed national at plus seven but the swing was close to double digits in terms of traffic. I know in the past you said it was enough traffic to offset the 50 basis point or so margin hit. I was wondering if you could talk a little bit about your margin expectations at Arby’s, bigger picture? I know you said it was an average check hit more than you thought. Are we resetting the bar perhaps to a low double digit margin at Arby’s? Or would you view this as more tentative in terms of a longer-term outlook?
Roland Smith : I don’t think we are resetting the bar to a low double digit margin at Arby’s. As I mentioned and I think you certainly understand the significant pressure on our margin at Arby’s has been almost entirely driven by de-leveraging from the standpoint of the same store sales decline. One of the things Arby’s has been good at for a number of years is managing very strong P&L based on the sales we have had. Obviously we have lost a fair amount of sales over the last year or so and that is showing up in our margins. We are not concerned about our margin decline based on our new dollar value menu because we think long-term we will more than benefit from transactions and sales to cover the half a point of margin difference between what we would currently have and what we would expect in the future. What we do believe is as same store sales increase or improve at Arby’s we will see margin expansion coming quickly thereafter.
Jeffrey Bernstein – Barclays Capital: So in reality the dollar menu is not really the primary driver of the significant pull off and you still expect to get back to close to where you were before rather than where you are now?
Roland Smith : Absolutely correct. It is not only not a significant driver, it is a very small impact on our overall margin decline.
Jeffrey Bernstein – Barclays Capital: Separately at Wendy’s I know you mentioned third quarter 4-5 new premium salads and we had heard price points north of $5 or so. I was wondering if you could talk bigger picture about value versus premium and the competitive pressures. Do you think success on that product versus what everyone else is doing and kind of talk the environment as a whole as it relates to putting out that type of product?
Roland Smith : Sure. We are great believers in the concept of barbelling pricing and quality. We believe that both of our brands and specifically Wendy’s has an ability to run a significant barbell. Wendy’s started the Super Value menu as you know years and years ago and we have very good value ratings with our customers and Wendy’s is known for some of the highest quality products in the marketplace. So we are in a very good position from the standpoint of our perception with consumers. But in order to run the bar bell successfully you need to do both and it is relatively easy just to discount your products. It is a little bit more difficult to ensure you continue to bring to the consumer great, new premium, high quality products that balance out that barbell and we believe salad is exactly one of those products for us and consumers will pay a little bit more for a great quality salad based on what the trends are in the current marketplace. You might also remember a number of years ago Wendy’s really kind of started the salad kind of push in the QSR business with Salad Sensations. As a matter of fact, the same gentleman that happened to have developed and launch those, [Ken Caldwell], has come back to Wendy's now 18 months ago and has been instrumental in reformulating our salad line with what we think are great quality, fresh, good salads that really are unique and are unparalleled from the standpoint of anyone else in the QSR business being able to replicate the quality and freshness of them. Now from a pricing standpoint we have had them in test in several markets. Generally speaking we are charging under $6 for them but the reaction from the consumers has been fantastic. In fact, even a little surprising to us to be kind of fair because the response from the standpoint of the freshness, quality and the size of the salads and the ingredients and some of the uniqueness of those ingredients has really kind of significantly accelerated our salad sales. We have seen the same reaction in some of the franchise markets it is testing in and so we are very excited about rolling these salads out to the customer because we think the impact is going to be significant. One of the interesting pieces of trivia about our salads is they have 14 fresh ingredients. You don’t find that in the QSR world and so we are not concerned about the price for two reasons. One, we think it is still a great value. Two, the consumer has spoken with their checkbook in our test markets and in fact they are up to almost 10% mix in our test markets which is a great number from the standpoint of a product.
Operator: The next question comes from the line of David Palmer – UBS.
David Palmer – UBS : I know this first question is a tough one but what do you think this new advertising scale at Arby’s can do? Do you think it is enough for you to really maintain your traffic gains from the dollar menu you have rolled out lately? Perhaps pulsing a little reminder it is there while you pick up the check trends with the new premium items, particularly those coming in June. Do you have enough weight to kind of support both ends of the barbell do you think?
Roland Smith : We think yes and you ought to come down and join our marketing department because that is exactly what we are in the process of trying to do. Seeing that you have asked the question about Arby’s, I want to take a minute and talk about Arby’s in a little bit more detail in addition to what I have covered in our formal presentation. First of all, the great news about the Arby’s brand is consumers continue to love our food. We have done a number of research studies over the last couple of months and before that really validates they really do love the quality and taste of our food. We think the key to sales and profit growth at Arby’s is to continue what I have been speaking to you about over the last quarter or so which is our turnaround plan. You mentioned a key aspect of the turnaround plan. It really starts with the right talent. As you know from my comments and the press release yesterday we are in the process of in just a week bringing on a brand new President. Hala is a veteran and understands the QSR industry and interestingly enough as I spoke to her in the interviewing process she was very interested in what plans we had and did her own due diligence. I spent hours and hours with her on the turnaround plan. She is joining us because one, she believes in the brand and two, she believes in the turnaround plan because certainly she has a lot of success behind her and wouldn’t join a brand she didn’t think she could successfully move into the future. Talking about the other key aspects of the turnaround plan, certainly expanding the value strategy and to change our customer’s perception of how we are seen from a value standpoint I shared some data with you about that the last call as to where we sit at the bottom of the pack. We have already begun to see some change in perception which just doesn’t change overnight. We are encouraged by how quickly customers are giving us credit for that. We think that credit is happening because as you have mentioned we have moved to a shift of national advertising which is more effective and we are using much more effective and engaging creative. To your point, we are not on national advertising 52 weeks like some of our competitors. However, we believe they way we have rolled out our calendar this year as I mentioned, when we are on we are really on. We make a big impact. We make a lot of impressions and then we follow it up in the months that follow with local advertising which continues to keep that level of awareness reasonable and then we come back with another big pulse of national advertising. In fact the next time we are on with national advertising with a new product is July and then we will come back yet again with national advertising in October. Finally, as I have mentioned before it is marketing’s job to get people in the store for trial. It is operations job to get them back in for repeat. We have a very clear focus on the customer experience. We have made improvements in cleanliness and friendliness over the last couple of months. We also think the remodel program is going to have a significant impact on the customer experience both from a curb appeal standpoint and from an overall experience standpoint. I know it is a little longer answer than what you were asking for but we do believe to your point this pulsing of national media along with the local media that will come on to follow it up is going to be enough to keep awareness high and we will enjoy the benefit of improving our value perception as time goes along. The last point I would make is that as I mentioned the transactions in April are positive 4% and during the promoted timeframe positive 7%. We are getting people back in our stores. We think that is the first really important key step to ensuring we continue the turnaround.
Operator: The next question comes from the line of John Ivankoe – JP Morgan.
John Ivankoe – JP Morgan: A couple of questions on Arby’s if I may. I am not used to seeing a 12% average ticket decline. The question is really in markets where you have had the Arby’s Value Menu the longest, what has been the experience of the average ticket once that value menu has been in place for the longest amount of time? In other words, do customers start to use the value menu as trade up or does that average ticket stay at fairly depressed levels?
Roland Smith : Great question. Obviously the most immediate impact on check tends to be on the initial launch, specifically when that launch is national advertising. But if you take a look at some of the markets that have been in it longer the average check decline is below 12%. As a matter of fact it is probably in the 7% range and that is because as time moves forward consumers tend to use that value menu a little differently. In the initial stages they tend to come in and buy only off the Value Menu which declines the check average. Then as time goes along they tend to not only do that but also augment their other purchases with add on items from the Value Menu which has a moderating effect on the overall decline of average check. So while I mentioned in our comments that the average check at 12% is about 2 points higher than our expectations we knew it would be relatively high during the national launch timeframe and we would expect that to settle down over a period of time.
John Ivankoe – JP Morgan: What about the trend in traffic for those markets where it has been in the longest? I would also expect the impact to traffic would be the highest when you begin national advertising.
Roland Smith : The answer to that question is yes that is correct. The traffic numbers I shared with you today are obviously traffic numbers for our total company stores. It includes the benefit of some traffic for the initial markets but also some traffic that is for markets that have been around awhile. If I can just give you one further comment about that, the numbers we have talked about today for April were obviously our company store markets where we have the data on a regular basis. I didn’t talk about our franchisees because we won’t get our franchise numbers for yet a couple of weeks from the standpoint of enough to be able to make a comment we would feel comfortable about. Anecdotally and based on what we have gotten so far from royalty and revenue information, our franchisees in the month of April experienced stronger transactions and same store sales trends than we did because to your point for many of our franchise system this was the first time out of the box for this Value Menu so you will probably see that as we finalize our second quarter numbers and come back and talk to you later on this year.
John Ivankoe – JP Morgan: What is the average sales lift for the remodels at the Arby’s brand?
Steve Hare : We tend to target about 10% lift on our remodels and that really goes across either brand. We do get a range of results depending on the locations of these. That is our target so when we talk about doing 100 on each brand we are trying to go through and find opportunities where we think we can get that range of sales lift.
John Ivankoe – JP Morgan: 2009 we began to talk about the health of franchisees at the Arby’s system and I know at least that was I guess not a heightened concern if you will for Wendy's/Arby's at the corporate level. Could you comment on the health of the franchise system broadly or even specifically what the current sales and margin trends across Arby’s if there is anything special or unique you are doing in this current environment for them?
Steve Hare : First, on the Wendy’s side of the equation, franchise system is very healthy and they had an outstanding year with both sales and margin performance. So not seeing any real signs of difficulty on that side. On the Arby’s side as we have talked about in the past we have about 10% of the franchisees we are working fairly closely with right now. They tend to be those franchisees that have leveraged their business to a fairly high level and obviously with the same store sales in decline they way have been over the last couple of quarters they are under stress. We are working with them along with their banks and their landlords to try to buy some time and take some of the pressure of their leverage off so we can keep generally what are good stores open through this period of stress. That number has stayed relatively the same over the last couple of quarters. Really the answer for us is to get the improvement in the same store sales from the turnaround plan that Roland has laid out. Other than that 10% lift, I would still say the larger franchisees and the ones that are not leveraged continue to do well on the Arby’s side.
Operator: The next question comes from the line of Tom Forte – Telsey Advisory Group.
Tom Forte – Telsey Advisory Group : Since you announced the new strategy for breakfast at Wendy’s you are starting to see McDonalds roll out the dollar menu at breakfast and Subway has come out with somewhat of a value focused. Understanding the high quality of the items you are putting together for Wendy’s where does value fit into the equation including value at lower price points?
Roland Smith : Great question. We realize that breakfast is going to be similar to the other day parts of our restaurant and so our marketing plan is going to be similarly focused on a barbell strategy. We will need to have some products that allow our customers to come in from a value standpoint and participate from a price point that is interesting and meaningful to them. We do, however, think the overall strategy is still going to be great quality, fresh products that you can’t get at any other quick-service restaurant. I am not surprised at the significant increase in advertising and focus that McDonalds has recently kind of put onto their breakfast brand because I think they are worried and they are trying to shore up their brand before we get out there with our products and actually start to make an impact in that very important day part. Thank you all for participating today. I appreciate your questions. I appreciate your time. As a quick summary, we are very pleased with our strong EBITDA growth of 14.7%. We are continuing to expect positive same store sales and improved restaurant margins at Wendy’s. The Arby’s turnaround plan is in place. We are beginning to see some real momentum from the standpoint of transactions and some improved sales. We are very much looking forward to Hala joining us in just a week. The SSG co-op I believe will start to pay some dividends later on this year. We are investing in breakfast and remodeling and international. We continue to return value to our shareholders and dividends and share repurchases and we continue to repeat our guidance of low to mid single digit adjusted EBITDA growth for 2010. Thank you again for your time. We look forward to seeing you out in the marketplace.
Operator: Thank you for joining today’s conference call. You may now disconnect.